Operator: Good morning. My name is Steve and I will be your conference operator today. At this time, I would like to welcome everyone to The Hershey Company's First Quarter 2015 Results Conference Call. [Operator Instructions] Mr. Mark Pogharian, you may begin your conference.
Mark Pogharian: Thank you, Steve. Good morning, ladies and gentlemen. Welcome to The Hershey Company's first quarter 2015 conference call. J.P. Bilbrey, Chairman, President and CEO and I will provide you with an overview of results followed by a Q&A session. Let me remind everyone listening that today's conference call may contain statements which are forward looking. These statements are based on current expectations, which are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements because of factors such as those listed in this morning's press release and in our 10-K for 2014 filed with the SEC. If you have not seen the press release, a copy is posted on our corporate website in the Investor Relations section. Included in the press release is a consolidated balance sheet and a summary of consolidated statements of income prepared in accordance with GAAP. Within the Notes section of the press release, we have provided adjusted pro forma reconciliations of select income statement line items quantitatively reconciled to GAAP. The company uses these non-GAAP measures as key metrics for evaluating performance internally. The non-GAAP measures are not intended to replace the presentation of financial results in accordance with GAAP, rather the company believes the presentation of earnings and excluding certain items, provides additional information to investors to facilitate the comparison of past and present operations. As a result, we will discuss 2015 first quarter results, excluding net pretax charges of $9.7 million or $0.02 per share diluted and gain on the sale of a trademark of $10 million or $0.03 per share diluted. Our discussion of any future projections will also exclude the impact of these net charges. With that out of the way, let me turn the call over to J.P. Bilbrey.
J.P. Bilbrey: Thanks, Mark and good morning to everyone on the phone and webcast. While our sales and earnings performance for the quarter was mixed, I was happy with the progress that we've made in key areas, particularly in the U.S. business were operating and marketplace performance was in line with our expectations. We completed the Krave acquisition towards the end of March and we began the integration work. We can now begin to share snaking inside related to consumer and market segmentation as well as distribution in channel opportunities. As we said in January at that CAGNY, we expected first quarter sales and earnings to be pressured to the Easter timing as seasonal net sales occurred at pre price increased levels. However, Q1 results were lower than we anticipated due to some unexpected softness in China. The weakness was across the majority of the consumer package good space in the China modern trade. The acceleration of this softness in the first quarter versus Q4 was unexpected. Chocolate was one of the few categories in Chinese that grew in the first quarter although less than last year. In China, Hershey's slightly outpaced the category and gained market share. However, the pace of growth slowed significantly. Mark will provide you with additional financial details. So let me give you an overview of the business. Overall, total company Q1 net sales, excluding the impact of unfavorable foreign exchange rates increased 4.6% driven primarily by pricing and net benefit from acquisitions of 1.6 points. Unfavorable foreign currency exchange rate was 1.1 headwinds. Our expectation was for adjusted earnings per share diluted to be about the same as last year. So the $1.9 that we earned was largely due to lower than expected international sales growth. Including Easter's seasonal activity and the year ago in current period the candy, mint and gum or CMG category, increased 3.9% for the 12 weeks ended March 21, 2015 within the xAOC+C channels. Gum continues to underperformed and excluding yet the chocolate, non-chocolate and mint categories increased about 4.2%. Excluding Easter's seasonal activity in the current and year ago period combined growth of chocolate, non-chocolate and mints was up 3%. Hershey, first quarter, CMG retail takeaway and the xAOC+C universe was 4.6% benefiting from an Easter versus last year. We had a good Easter and believe we will gain share in this important season. Excluding Easter seasonal sales Hershey's everyday marketplace performance continues to improve. Specifically, Hershey's xAOC+C CMG retail takeaway for the 12 weeks ending March 21st, excluding Easter seasonal sales in the current and year ago period increase plus 3.1%. Perhaps the easiest way to assess performance given seasonal timing is by looking at absolute market share results. We gained market share both with and without the Easter seasonal activity. All in including the seasonal activity Hershey first quarter CMG market share in the xAOC+C universe increased plus 0.2 points. U.S. first quarter organic net sales of nearly 3%, seasonal sales roughly one quarter of our business in the first quarter declined year-over-year due to a shorter Easter season. This was more than offset by our everyday business which I'm pleased to say increased mid-single digits on a percentage basis versus last year. This is slightly ahead of everyday retail takeaway of 3.1% due to the timing and shipments of second quarter promotions and new products. In the second quarter we believe our everyday momentum will continue with the broader roll out and launch of Ice Breakers Cool Blast Chews, Hershey's Caramels and additional Lancaster Cream flavors. In Hershey's first quarter xAOC+C chocolate retail takeaway excluding Easter was up 3.3% resulting in chocolate market share gains in 0.6 points. Importantly, retail takeaway was solid across many of core chocolate franchises including Reese's, Hershey's, Kit Kat, Kisses and Brookside. Switching to non-chocolate candy or NCC in the xAOC+C channels, Hershey's NCC business excluding Easter in the current and year ago period declined 2% as we were lapping the year ago launch of the Lancaster product line. We anticipate that our NCC performance will be a bit better over the next couple of quarters supported by Lancaster in store sampling events, national FSIs and some summer fun flavors of Twizzlers. While not as large as chocolate, at NCC we continue to do well within the gum and the mint categories, specifically our Q1 gum and mint retail takeaway within the xAOC+C universe was up 11% and 10.5% respectively. As a result our gum market share increased by 0.4 points to 5.2%, our mint market share increased 0.7 points expanding our segment leading position to 40.3%. In the C store classic trade where the seasonal impacts are minimal the CMG category was up 5.1% driven by pricing. As it relates to the previously announced price increase volume elasticity trends are tough to discern in the xAOC universe given the influence of seasonal candy on shelf at pre price increase levels. However conversion appears to be on track. Total Hershey's C store performance was solid with retail takeaway up plus 4.8%, it was driven by pricing of 9-10 points offset by volume elasticity of about 5%. This is relatively in line with our modeling for this channel, our C store chocolate and mint retail takeaway was particularly solid up 4.9% and 8.9% respectively. These gains were driven by core brand advertising, in store selling, merchandizing and programming. International results were mixed in the first quarter giving greater than expected unfavorable foreign currency exchange rates and China retail softness that impacted overly grocery as well as the chocolate category growth. Recall during last quarter's conference call we stated that chocolate category growth in China was about 8% and that was less than the historical 10-11%. In the first quarter chocolate category growth was 4% again softer than we would have anticipated and less than the year ago period. Given the Chinese New Year holiday the first quarter is typically the biggest quarter of the year for chocolate consumption. Some of this softness is most likely due to government policy related to gifting, however macroeconomic news indicates things have significantly slowed and this could be impacting overall consumer confidence. This is evident when looking at Nielsen data for the broader CBG group which was also soft. Our chocolate retail takeaway in China was about 5% in the first quarter resulting in a market share gain of 0.1 point. In all of the markets where we operate our goal is to ship to consumption so the consumer has a good experience related to freshness and taste. Therefore our China first quarter net sales moderated and declined 47% versus year ago. We will continue to execute against plans with our retail partners in China to drive store traffic and in store activity over the remainder of the year. As a result our China chocolate plan reflects the first quarter miss and remains relatively intact versus our initial plan. We have made some adjustments on how we’ll get there. We expect to enter some Tier 2 cities will increase the level of in store sampling to drive everyday trail and repeat. Additionally, we're beginning to get Brookside out into the market and using Golden Monkey distributor assets that help us to achieve that. Shanghai Golden Monkey integration is progressive. In the first quarter Golden Monkey was diluted to our earnings. However, results will be stronger in the second half of the year supported by a solid pipeline of snack and non-chocolate candy new products. In Mexico, first quarter constant currency net sales increased about 16%. As expected our business is sequentially improved over the last three quarters as consumers have adjusted to the VAT tax instituted last year. Importantly, the chocolate category increased about 13%. We estimate that Hershey's retail takeaway was up about 12% driven by Hershey's spikes and a King Size Q1 event at some selected retailers. Over the remainder of the year, we have a lot of in store activity planned to highlighting new packaging designs and pack types that we believe will generate solid net sales growth. In Brazil, first quarter constant currency net sales increased about 18% results benefited from an easy comp versus the year ago period and an earlier Easter. Although note that we don't have a broad Easter portfolio on Brazil as the big Kiss offering is our primary seasonal item. Hershey's Tablet Bar performance was good and while all small Reese is starting to gain attraction in Brazil. Despite mixed international results in the first quarter we remain confident about plans over the remainder of the year. We’ve made adjustments where necessary and have the right mix of innovation and in-store activities to achieve our objectives. Our international growth profile excluding Golden Monkey is similar to prior years and driven by performance in the second half, particularly the fourth quarter. However, foreign currency exchange rates remain volatile and over the remainder of the year, the other favorable impact on net sales is expected to be greater than our previous estimate. Given this backdrop and first quarter softness in China, we now expect international net sales excluding the benefit of Golden Monkey, to increase about 5% versus our previous expectation of about 10% increased. Now to wrap up. Core brand merchandising, programming and innovation accelerates over the remainder of the year. There is no change to our advertising and marketing methodology and we continue to expect that it will increase at a rate greater than net sales growth. We believe these investments should generate full year organic net sales growth or constant currency sales excluding M&A and FX impacts of around 3.5% to 4.5% in 2015. We expect foreign exchange rates to be greater than our previous testament by about a half a point and be about 1.5 points unfavorable in 2015. We continue to estimate that the net contribution from acquisitions and divestitures will be around 2.5 points. With the profitable U.S. business on track and increase in gross margin expansion and Golden Monkey accretion later in the year, we expect an increase in 2015 full year adjusted earnings per share diluted of 8% to 10%, including dilution from acquisitions and divestitures of $0.03 to $0.05 per share. Before we provide you with additional financial details, I'd like to take this opportunity to welcome Patricia Little our CFO as of March 16. Patricia is a season financial leader who knows how to create shareholder value and develop talent and we believe will be a benefit to our global organization and all of our shareholders.
Patricia Little: Thanks, J.P. I'm pleased to be here and it's a privilege to be part of the Hershey team, especially given the many opportunities in front of us. I follow the consumer package goods states as a board member at another company. So while I’m a bit familiar with the category, I still have a lot to learn over the coming months. However, in my first few weeks on the job, it's clear and the confectionary category are advantaged. Our business is growing in the profitable North America market and in our focus international markets the category has a long runway. I'm committed to long term value creation, as is our board of directors and look forward to helping our company reach its potential. Overtime, I look forward to meeting all of you and sharing what I learned and opportunities that continue to exist for the Hershey company. With that let me turn it over to Mark, who will provide you with further information on first quarter results.
Mark Pogharian: Thank you, Patricia. Good morning to everyone on the phone and webcast. First quarter net sales of 1.9 billion was up 3.5% versus the prior year, excluding the negative impact from foreign currency exchange rates of 1.1 point, about half a point greater than estimate net sales increased 4.6%. The fluctuation in the Canadian dollar was responsible for about half of that FX impact and the Mexican peso and Brazilian real, the majority of the remainder. As we indicated last quarter given a shorter Easter, volume elasticity related to the U.S. price increase and the timing of innovation, we expected consolidated net sales growth in Q1 to be around the low end of our long-term target. However, we didn't anticipate the anomaly in China that J.P. referred to. Pricing and net M&A was at 3.8 point and 1.6 point benefits. Partially offset by volume that was 0.8 point headwinds. Importantly, North America organic net sales excluding FX and M&A increased 3.4%, relatively in line with our expectations. North America pricing up 4.3 points was partially offset by volume that was up 0.9 points due to elasticity related to the price increase and lower seasonal sales. International and other segments net sales increased 8.5% driven by the Golden Monkey acquisition, a 13.3 point benefit, while FX was a 4.8 point headwind. International and other segment organic net sales were about the same as last year. As we stated in January first quarter EPS would be pressured, our expectation was for adjusted EPS to be about the same as last year due to seasonal product sales that accorded a pre-price increase level and our plan for higher SM&A expenses. However we did not anticipate the lower levels of growth in China within the biggest cities and hyper markets. This impacted chocolate categories growth in the quarter as well as some of our decisions related to Golden Monkey go to market strategies. Hence adjusted EPS diluted of a $1.9 down about 5% versus last year was off versus our plan primarily due to China chocolate sales and Golden Monkey dilution. Turning now to margins, in the first quarter adjusted gross margin increased 10 basis points driven by supply chain productivity and cost savings initiatives as well as the net price realization which more than offsets higher input cost, earlier this month we implemented select input cost strategies that we believe will enable gross margin to increase a 155 to a 165 basis points for the full year. Adjusted EBIT in the first quarter declined 5.6% versus last year resulting in adjusted EBIT margin of 20.3%. The decline was driven by higher SM&A expenses that increased 12.3% versus last year. Looking at a couple of the pieces, advertising and related consumer marketing expense increased about 8%, selling, marketing and administrative expenses excluding advertising and related consumer marketing increased about 15%. This increase reflects the addition of Golden Monkey, investments in mark-to-market capabilities in the US and the international markets, as well as knowledge based consumer insights. Let me now provide you with a brief update on the international business. Similar to prior years our expectation entering 2015 was for international net sales growth would be back half weighted. We still believe that will be the case given our plans for advertising, merchandizing programming and new products. Q1 international net sales increased 8.8%. Note that this excludes global retail and licensing results which was relatively in line with expectations. Looking at our focus markets we believe China chocolate category softness was impacted by consumer confidence given all the negative headlines you've all see like slowing GDP growth. Although we were encouraged that March Nielsen data showed an acceleration in category growth versus January and February. Over the remainder of the year we expect net sales growth in China to sequentially improve, although it will be driven by performance in the second half of the year. We've adjusted our China plans to generate greater in store activities, support faster growth in the hyper markets, we'll be entering some Tier 2 cities and we have plans to increase our exposure in the fast growing e-commerce channel. On a constant currency basis net sale in Mexico and Brazil increased mid-teens on a percentage basis versus last year due to easier comps. Recall that at the beginning of '14 we had the headwind of the back tax in [inactive] in Mexico, and volume elasticity related to the price increase in Brazil. We expect Mexico and Brazil performance to be better than last year however we expect the Real and Pesos to remain volatile and be a major headwind related to reported net sales. Moving down to P&L, first quarter interest expense of 19.2 million, declined 2.2 million versus last year. For the full year we continue to expect interest expense to be in the $75 million to $80 million range. The adjusted tax rate for the first quarter was 35% in line with our estimate. For the full year we expect the adjusted net tax rate to be slightly lower than the year ago rate of 34.5%. This is a little different from our initial analysis and guidance that the full year adjusted tax rate would be about the same as last year. For the first quarter of 2015 weighted average shares outstanding on a diluted basis were approximately 222.7 million, a 1.9% decline compared to last year. Turning now to the balance sheet and cash flow, at the end of the first quarter net trading capital increased versus last year's first quarter by 69.2 million, account receivable was lower by 13.8 million and remains extremely current. Inventory was higher by 67 million and accounts payable declined by 16 million. The net increase in trading capital was driven by acquisitions, excluding net acquisitions and divestitures net trading capital increased 7 million. In terms of other specific cash flow items total capital additions including software were 62.7 million in the first quarter, for the year we expect total capital expenditures to be about 375 million to 400 million including capital related to the Johor Malaysia project of about a 110 million. Excluding this project CapEx is about 275 million or about 3.5 % of net sales. Depreciation and amortization was 58.3 million in the first quarter in line with our estimates, during the first quarter dividends paid were over 114 million. The company repurchased a $173 million of outstanding shares in the first quarter against a February 2014 authorization which is now complete; no shares have been purchased against the $250 million authorization approved in February 2015. This authorization is in addition to the company's policy of repurchasing shares in the open market related to issues in connection with stock option exercises. In the first quarter the company repurchased a $134 million of common shares to replace shares issued in connection with exercise of stock options. Cash and short term investments at the end of the first quarter were up 405 million. As J.P. summarized, in 2015, we have a solid pipeline of innovation, merchandising and programming. In addition marketing expense is expected to increase that greater than net sales growth. As a result we expect 2015 net sales to increased 4.5% to 5.5%, including a net contribution from acquisitions and divestitures of around 2.5 points and the negative impact of foreign currency exchange rates of about 1.5 points. Excluding these items, organic net sales are expected to increase 3.5% to 4.5% versus the previous 4% to 6%. While we remain confident in our business plans, a narrowing of the sales range reflects to global macroeconomic challenges that continue to persist. But decline of the lower end of the range by half of point primarily reflects the first quarter China underperformance. We continue to have a significant focus on gross margin and expect that the previously announced price increase as well as productivity and cost savings to result in gross margin expansion of 155 to 165 basis points. Combined with a slightly lower net cash rate and Golden Monkey accretion in the second half of the year, adjusted earnings per share diluted is expected to increase 8% to 10%. Before we open it up to Q&A just a couple of thoughts on the second quarter. We have planned to generate solid gross margin expansion over the remaining quarters. However the second quarter is typically our smallest quarter as it relates to overall net sales. And our international sales profile is similar to prior year with annual growth primarily driven by fourth quarter performances. Additionally, Golden Monkey will be dilutive in the second quarter before ramping up in the second half of the year. While small [crave] margins are lower than the company average and it will also contributes to the increase in total consolidated SM&A expenses in the second quarter. Therefore second quarter net sales, including M&A and FX is expected to be at near the low end of our full year sales target of 4.5% to 5.5% before accelerating in the second half of the year. Given all these moving parts, we expect second quarter EPS diluted growth to be pressured and around the same as last year. Thank you for your time this morning and we'll now take any questions that you may have.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Andrew Lazar with Barclays. Your line is open.
Andrew Lazar: If the more sizable part of the top line weakness in the quarter as you talked about was international and SGM, I just want to make sure that I'm clear on why the these full year organic sales target is coming down? Is it just the organic piece of the international particularly China that you talked about or is there some North American angle to that as well? I just want to make sure that's not changed.
J.P. Bilbrey: It is the China flow through at the first quarter Andrew that you’re seeing; the U.S. business [indiscernible] is off to a good start and is forecasted to be as we anticipated earlier in the year.
Andrew Lazar: Okay and then despite this [indiscernible] the sales weakness in SGM, I guess you talked about still looking for the same full year contribution from acquisitions but I guess you only have, I think maybe two quarters left to make up for that first quarter weakness in SGM because I think you start lapping it in the fourth quarter, if I'm not mistaken. So I'm just trying to get sense of what gives the comfort level there that the acquisition contribution can still be the same despite the first quarter?
J.P. Bilbrey: Yes, that's correct. Last year we had two months if you recall from Golden Monkey and the fourth quarter. And as we start of the year we had a similar pattern as we did in the chocolate business, we were lower in terms of the Chinese New Year. What we have in Golden Monkey, which is different than the regular chocolate businesses, we have a part of the business which is not so seasonal, which is the [bean curve] business and we also have a lot of innovation which kicks in after new year and that's been the typical pattern, where we have distributor meetings early in the second quarter for that innovation and there is a very strong innovation pipeline for that. And so our expectation is that we will be on target for that accretion during the full year and that will come into back half. The other small acquisitions and divestitures whether the Mauna Loa or Krave kind of offset each other. 
Operator: Thank you. Our next question comes from the line of Bryan Spillane with Bank of America. Your line is open.
Bryan Spillane: Just the follow up to Andrew's question and I just want to make sure, I called all these pieces the -- in the first quarter the downside relative to your internal plans was really partly at least more dilution from Shanghai Golden Monkey. But for the full year you're not -- you expecting the dilution to be similar or the same in terms of what you thought it was going to beginning at the year? But it sounds like you're going to spend more money for some of this in market activity to try to boost sales. So, trying to piece those pieces together. Why it wouldn't be more diluted if you’re having to spend more money to drive sales, special since it was already more dilutive than you thought in the first quarter. So am I thinking about that correctly, I guess?
J.P. Bilbrey: Yes, not partially -- not exactly. Let me explain. We always said Shanghai Golden Monkey would be slight accretive to the year and all we’re trying to do is reconfirm that despite a slower start attributable to new year. We did have -- Obviously, lower operating income in the rest of the China business for the same reason that we had a slower start. What we're saying in this case is that the Shanghai Golden Monkey's slight accretion to the year remains intact, based on the activity progress that we have in place. In terms of you know higher spending, we’re not projecting higher spending in the international business in terms of getting back to you know our targets for the year and we're also given the magnitude of the China sales miss, we're not projecting that we can make up that sales miss which is part of what Mark explained on the call down on the lower end. We do have higher year-on-year cost in the sales force that's our program as we actively go into more cities and we did still have advertising in the first quarter during Chinese New Year although it certainly wasn't as effective as we thought it would be.
Mark Pogharian: And those comments are related to the China chocolate business, Brian, so it's not only did you have the SEM dilution you had all the investments we made in the China chocolate business throughout '14 that happened perhaps in the back half that are [indiscernible] that are in your pace, that will be in the pace of the first half this year.
Bryan Spillane: Okay.
J.P. Bilbrey: Like in sales force, et cetera.
Bryan Spillane: And then just one last follow up to that is just, it sounds like you know in terms of when you built this plan in I guess October and November versus where we are today, Chinese New Year was weaker than expected and a lot of this I guess is more macro, it’s not just specific to Hershey and so I guess as you go forward in terms of as you've done the planning going forward has it incorporated that maybe that you know the macro environment is just not as strong as it was when you initially planned 2015 or is the expectation that it's the same? I'm just trying to understand how it accounts for what seems like just slower growth generally in China. 
J.P. Bilbrey: We've taken that into account and as we looked, to your point, as we developed the plan last year and we said during the January call that we expected Chinese growth to be approximately the 30% that we grew in '14, so we weren't -- while we were seeing some slowdown, let's call it in December, we weren't planning for as poor a performance. We know, we think there's a lot of this is cyclical based on what you're hearing, GDP, consumer confidence, things that we've already mentioned. We don’t think it's as much structural, in fact some of the structural changes we think actually help us in the long run, things like urbanization, as well as more of a consumer economy which is what the government's pushing but, we've lowered certainly the overall year expectations, as you know we said we'd be somewhere around 30 and that the category would be in the low double digits. We certainly lowered that to high single digit. Still think we can do two-three times the category growth rate but we certainly lowered that overall year expectation, not trying to make up the first quarter.
Mark Pogharian: Let me just add one other comment, it's really important for the perspective of our company in China is, we continue to be in a brand building and portfolio expansion mode, Shanghai Golden Monkey is of course critical for the distribution, build of that, and so we really continue -- we believe we have the right brands, the right growth plan, markets will moderate as we're certainly seeing right now over time, but on a long term basis we continue to believe our model's a good model, obviously volume is a magic elixir on some of these things, so you also have to manage pace in investment along with that but we really believe that we have the right plans in place and over time we’ll continue to grow in China, mainly around distribution and portfolio expansion for the near term anyway.
Operator: Thank you, our next question comes from the line of Ken Goldman with JP Morgan; your line is open,
Ken Goldman: I had a question for Patricia if I could, and first welcome to the food industry, I'm curious and I realize it's still early days right, but is there anything you're seeing that you might consider sort of low hanging fruit you'd like to pick, I don’t know whether that's in the balance sheet or M&A strategy, really anything, is there something you're looking at and saying you know what we can and I guess should be doing this differently.
Patricia Little: Thanks for the question, I don't think it's so much that I'm going to come in with those kinds of answers, what I've seen is leadership team here who's really focused on all of those things, on the M&A, on the cost leverage on how they manage the brands on how they focus on growth both in North America and the key focus markets, I view my job as to be really a catalyst to help that team bring all of their great ideas to fruition, so I wouldn't say that there's low hanging fruit that I come in to see, what I see is a group that's working on all of those very actively.
Ken Goldman: Okay, and then this is a question, just one more for anyone really, you're one of the first food companies to report since the Kraft Heinz deal and I recognize you've already made significant improvements to your cost base over the years and I appreciate you're more of a growth company right than either Kraft or Heinz, but I guess when you read some of the -- read about some of the massive margin improvements 3G is able to implement, you know, I guess on some level do you think to yourself boy there's, maybe there's a lot more we can do than what we're currently planning on, or do you say this is our plan, we'll need to balance top line growth with margins and so forth? I’m just curious how you react, what seems to be a continued trend here in food.
J.P. Bilbrey: So, I think as you rightly point out we're very focused on growth, we've been investing in our business is about the new geographies and I think very importantly in capabilities. So I can’t specifically talk about 3G, what I do thing is very important and as I mentioned on the last call at CAGNY, we're really looking about -- we’re really looking at how we evolve our business mode, how we allocate and reallocate resources against what we believe are opportunity, you’ve heard us talk about knowledge and insight. We continue to believe that's really important and we're investing in different skill sets there than we have and so we have to be mindful at the pace of our business. We have to make sure that the volume continues to be the elixir that makes all things affordable. So you should expect us to continue to take hard look at the leverage we have against our P&L and you’ll hear us talk a bit more about that we're doing a lot of work in that area. But I think for our company we strongly believe that there has to be an ongoing balance between brand building and P&L leverage. That obviously takes cost as one of the key leverage, but we want to make sure that we maintain the right balance and focus on all those things.
Operator: Thank you. And our next question comes from line of John Baumgartner with Wells Fargo. Your line is open.
John Baumgartner: John, as you look to your cost basket here, gross margin are tracking bit more favorably relative to your last update and with that sailing going for you, do you find your still needing to reinvest the incremental benefit in sales force or marketing, or have you reached the position where SG&A budget is more of less fixed and those cost can flow through more to products going forward?
J.P. Bilbrey: Well, I think that, there is a couple of thing to probably seeing as we raised our gross margin outlook, part of that is around commodities and input cost and then as I said, we want to make sure that we continue to look at the levers that we put in place. So yes we've invested in our selling capabilities and we want continue to invest in our brands some of that's in our international markets but it's also importantly in our U.S. market as well, where we get the right see store level of coverage where we get the right frequency in stores so that we can win in merchandising and so, if we look at our overall business model we think we’ve got the right approach. And to make sure that, you continue to be reassured that we are mindful about what we can afford and non-afford obviously we want to make sure that we continue to grow into those investments at the appropriate pace. But I think over the long-term again we're really committed to our business model and we also feel good about the markets that we're in. We think, we're in the right markets long-term and it will have to whether some of the volatility of the short-term up and downs. But we're in this business to stay, we’re been here a long time and we planned to be here either longer.
Operator: Thank you. Your next question comes from line of Eric Katzman with Deutsche Bank. Your line is open.
Eric Katzman: Couple of questions, I guess, kind of following up. This is -- should we read this like select input cost strategies as a kind of one time in nature? I mean did you like just favorably locking some hedges or something that makes this -- the gross margin improvements locked in for this year?
J.P. Bilbrey: I think, Eric, we look at what we believe are the right strategies to protect our brand investment in our pricing and our -- I would just reiterate that we can be anywhere between 3 and 24 months hedged on some of our key commodities. Certainly coco’s been volatile so we’ve looked for opportunities to price went we think the -- it's a good value and then the entire industry is getting some benefit out of dairy and you know well, I'm not trying to predict, where dairy goes, it feels as though it’s in a direction which could benefit. But if you look at lot of the tree nuts and so forth, those are going up largely and so again we try to look at the overall commodity basket and we feel pretty good about how we've been able to take a forward view to protect our current plans.
Eric Katzman: Okay and then -- thanks for that. And then just kind of talking about the U.S. business overall, I mean as I've been travelling around -- again it's not a scientific sample, but it just seems like there is more promotion in the market, I see kind of BOGO, it seems like a lot of the pegboard and mini products that have been introduced in past years are on sale a lot, I think J.P. you've mentioned in the past seeing more kind of snack based competition and so maybe can you just talk a little bit about what you're seeing in market and is that are those observations fair appraisal?
J.P. Bilbrey: Eric, I think what we would say is that across snacking we are seeing that there is a lot of activity out there, if you look at the overall snacking wheel and the share performance you can see that there's been some moderation there with the exception that CMG is sort of returning more to its historical performance base, you’ve see meat snacks which continues to perform really well and obviously we're encouraged by Krave. But I think we're in an era where the snacking continuum and the occasions of snacking are broadening and therefore consumer choice is greater and so we have to work hard at making sure that at the point of sale our brands are winning in terms of merchandizing etc. I’ll tell you the one thing, that if I -- as I personally have a takeaway from the first quarter that I feel better about than anything else we probably could talk about on this call is that we're seeing a strengthening in our everyday business and if you take Easter out and you know all of the previous quarters and all and you just look at what's the health of the everyday business. We're doing a -- our everyday brands are up and importantly that's always a measure of advertising effectiveness. So the combination of advertising working for us and seeing our everyday business improving outside of that environment, that is a very, very healthy sign and for me that's the thing I feel best about in the entire first quarter.
Operator: Thank you, our next question comes from the line of David Driscoll with Citi Research, your line is open.
David Driscoll: Wanted to follow up on two points, the first one on Ken's question regarding kind of the cost structure of the company. J.P. I think you indicated in the release here that SG&A investment kind of excluding the acquisitions was up about 10%. Yes, I think over the years you guys have really been adding to your “capabilities” within that line, and the question here is, is all of that 10% increase focused on these emerging market opportunities or how much of it is really focused on the U.S. And then how do you think about that in light of Kraft-Heinz and [ZBB] and all of these commentary regarding the US marketplace where it seems as if folks are really taking costs out of their U.S. operations not putting them in. 
J.P. Bilbrey: Well I think David first of all a couple of things, I would tell you that as consumer insight driven company, a brand building company, we're going to always be focused on growth and growing our brand. The cost is a lever, and it’s an important one, so look, I mean if we can all capture synergies in our business via acquisitions and add-ons and making sure that we've got P&L leverage, we absolutely have to be focused to get that because the investments that we make have to pay for themselves. But first and foremost we have a business model you know that we want to pursue. So, yes I think there's some very good reminders in the marketplace that suggest that, listen, you got to make sure you're not getting fat, but you also have to make sure that along the way to not getting fat, you're allocating resources in a way that you can win in the market place on a go in basis. So that's important. If I come back to the first part of your question, we're balancing those investments both internationally and in the U.S. So we've proven over and over again that the passion of our sales organization, our feet on the street represent us better than any other choice we could make, I've also seen some evidence in the market place where some other companies are coming to that conclusion as well. But for our company we continue to be focused against those investments, and the only way we can grow our brands in these new markets is to forward invest in the capabilities that make them broadly available to consumers and we'll continue to do that. But we’ll do that in the most effective and efficient way we possibly can.
David Driscoll: Okay and just a follow up on international, so I think what you guys wrote is that Mexico, Brazil and India were up 15% and that was in line with your expectations, so that seems to be tracking and then all of this international stuff is related to China, that's where the short fall is, so hopefully I have that correct and then kind of the question here is, you know 47%, of course every time you read a number like that on a company like this you do a double take to make sure you didn't misread it. I think the takeaway here -- but this is the question, is the 47% decline in the China business, it's an inventory adjustment essentially, so that in 4Q you had massive shipments of product to retail, anticipating something like a 30% growth in the first quarter in China. First quarter China retail I think you guys said was 5% for Hershey products and hence that requires a massive change in the shipment pattern in Q1. [Bert] am I putting all this together right.
Mark Pogharian: Yes, let me -- to your first point, it is largely China, there were other small bits right, so there're a couple of our export markets where the dollar is making the product quite expensive, example could be an export market like Japan, obviously which, they're actually in quantitative easing so their currency's going the other way, So there were a few markets and certainly our export business was impacted but it was largely a China story in the scheme of things. And you're quite right, as we anticipated the growth in the first quarter for Chinese New Year and didn’t see that coming along we obviously shipped less into the marketplace, because J.P. mentioned earlier I think in his remarks, we try to ship with the consumption pattern is, we don't expect that will be made up in the rest of the years, so we've adjusted down or growth although we think the rest of the year should be more normalized than what we saw during the Chinese new year.
David Driscoll: Okay. So, kind of short version here is this you do the big catch up in the first quarter to get this thing, the distribution inventories on track and then the remaining three quarters are negatively impacted by a fundamental view that the China growth rate is lower than what you had previously thought, is that right?
Mark Pogharian: I think, that's correct. Again don't forget a lot of the next wave of China business, Golden Monkey’s is little bit less seasonal, does come in the last four months of the year
Operator: Thank you. And our next question comes from the line on Jonathan Feeney with Athlos Research. Your line is open.
Jonathan Feeney: Just following up more directly with David here, I mean, if China was down -- Shanghai Golden Monkey 47% on 5% take away, what were you hoping China was going to do in the first quarter? And maybe for the year and approximately by how much -- did you lower that internal forecast?
J.P. Bilbrey: Yes, we don't talk about quarters, we did say in the first quarter call that we expected the China business to grow around at 30% that we grew last year, I think, last year we were up 34. And so we expected to similar growth. I'll just reiterate we -- that would translate into category and the low double digits, we've lowered that to the high single digits reflecting the first quarter miss.
Jonathan Feeney: Makes a lot of sense, thanks. And of that growth, how much of that is channel penetration of the former, Shanghai Golden Monkey -- enabled by the Shanghai Golden Monkey acquisition and if you can -- can you tell us, you look at the 13.3 impact, I assume that's all from Shanghai Golden Monkey, I assume that of this year sales, can you tell us, what apples-to-apples if it's possible the Shanghai Golden Monkey business is trending?
J.P. Bilbrey: On the first part of your question, the synergy aspect of Golden Monkey, we're in the very early stages of that, so there is very little of that. And the reason for that is -- as we plan for those synergies; let's take an example, chocolate products through Golden Monkey sales force. We're still on the process of designing different pack size, different price points which are more appropriate for those markets. So, there is not a lot of the miss that's accounted for by not penetrating Hershey products to Golden Monkey. On a year-over-year basis we haven't given that type of information, the Golden Monkey certainly had a similar impact in the first quarter as you would see in our chocolate business based on the same lower New Year.
Jonathan Feeney: Thank you. And do you continue to expect that or do you expect that cross selling opportunity once you get through the appropriate pack sizes remains to be significant?
J.P. Bilbrey: Very much. Well it's not -- well it's all incremental to what their business model has been all along. A lot of that welcome toward the end of the year as we designed these pack types and we start to launch into the next wave of Chinese new year if you will, which comes later in the year but we're fairly confident that we have the right products, we have to reconfigure them and they suddenly have the capability to get them into lower Tier cities and traditional trade.
Jonathan Feeney: Thanks and I just ask one last question, you have a -- in the first quarter clearly, you had -- looked like some pretty good in North American performance at least as far as both the everyday business and overall. And you -- it seems is this gross margin would have outperformed your expectations were it not for the impact of international, can you give us a sense -- weighs the full years gross margins, so can you give us the sense how much maybe mix or performance in these international business affects gross margin versus if it we're just say in North America, that extra growth in international you're expecting, affects the consolidated gross margin versus if you're say just North American business experiencing that 4 plus percent pricing in modest line decline, thanks
J.P. Bilbrey: I mean, Jon, I guess the way, I would think about it, don't forget that seasonal was about 25% to 30% of our overall North America sale, so that's why it's not up as much as you would have maybe have anticipated. Again when you go to some of these international markets, the growth -- absolute level of gross margin in China for example, would have been down year-over-year, when you think about the 5% take away and perhaps how we think about trade there to make sure it all gets out eventually at the end of the day. So that was the little bit of a drag at the gross margin on the international side.
Operator: Thank you. Your next question comes from the line of Ken Zaslow with Bank of Montreal. Your line is open
Ken Zaslow: Just two follow ups, one is -- I think, this is what you said is, but the incremental gross margin expansion for your guidance is entirely related to the money environment or there anything operational you are doing to increase that? I didn't get that full answer.
J.P. Bilbrey: Well I think what is said is, is that meaningful piece is really related to the commodity improvement on our input costs and our outlook there. You also have the benefited mix as you get through the year with the pricing you know that really begins to show up in the US business as well. So you got a combination of things that are helping us there. And then as the US business continues to perform well there's always a positive mix effect that happens. Therefore, I made some commentary around the everyday business on one of the earlier questions, so I think you've got several factors.
Mark Pogharian: I guess Ken there's no change, if you think about the initial 135 to 145 bps, it’s all about the pricing and it’s the incremental 20 basis point increase is related to the [indiscernible] on the commodity strategy.
Ken Zaslow: Okay, great, my second question, Tier 2 cities, when you think of them in China, does the long term growth opportunity as well as margin opportunity compare to Tier 1 cities or are they significantly lower, how do they scale up over time?
Mark Pogharian: No, they're -- I mean from a margin perspective they're very comparable. There are some slight benefits, as an example advertising rates are a bit lower as you spread into lower Tier cities. But there's no penalty in terms of pricing and as you go into Tier 2 and Tier 3, the further down you go obviously the pack size change and there's more traditional trade that's part of the mix. But that doesn't cause a margin penalty.
J.P. Bilbrey: The other comment I would just make is that and I kind of come back again to the long term perspective, you know the category growth in China and brand building is still the biggest story and what happens with their pace of urbanization, obviously everybody wants to participate in that, at the same time you have a large dispersement and that's why -- of people and that's why we feel good about the acquisition of Shanghai Golden Monkey and the ability then to put both our brands -- both of the brands of the two entities across our entire distribution chain.
Ken Zaslow: What would make you work for 2016, what would create Chinese growth to be restored to last year's growth level, can you speak to that, and what would you need to see that would change, that would make you think that 2016 could compare with 2014?
J.P. Bilbrey: We haven't started to talk about '16 yet, I think that's a little premature, I think what I mentioned earlier is that certainly what we see in China today you know feels more cyclical in terms of what’s going on with GDP, what's going on with consumer sentiment. You've seen the government react to some degree, last weekend I think the Central Bank lowered reserve rates in order to put more monies into the economy, particularly for small business. I think the structural changes favor CPG categories in terms of urbanization which J.P. mentioned as well as a more consumer oriented economy versus exports, so I do see given to see that evolution, we’re structural, I think helps us and then the cyclical right now will all have to hold hands and see how soon that gets resolved, but I do think that's more cyclical in structure.
Mark Pogharian: Operator, we have time for one more question; want to respectful of other peers that are reporting today.
Operator: And your next question comes from the line of Alexia Howard, your line is open.
Alexia Howard: Can I ask about the everyday items, you mentioned that you were encouraged about that would trend and could you give us some numbers around that? About the progression there, maybe first half last year, second half last year and then what you’ve seen this latest quarter. And what do you think is driving that, are you seeing better traffic in the stores, you mentioned the advertising effectiveness was another piece of it. Thank you and I'll pass it on.
J.P. Bilbrey: Yes, Alexia the thing that I would point to and I'll try to give to give you a couple of things here, if you look at the quarter, Reese's was about nine-tenths of a point, Hershey's up 2.4%, Kit Kat was up 3.6%, Kisses up over 9% and Brookside was a big number and because it's a new brand, may not be meaningful to talk about it, but it was a big number. So for me the fact that the everyday ex-Easter was healthy until all of our core brands grew and that's the piece that I was feeling so good about and you know the first quarter last year was -- so some of the comparable in terms of the total CMG may be a little bit harder to look at, the first quarter of 2014 last year was up about 4.6% or so and a lot of that was driven by non-chocolate products with Lancaster and some big Twizzlers type promotions. So if you really isolate our biggest brands and those core brands and look at their performance that really shows you, we remember we talked about -- we were going to try to be very focused against merchandizing, against our core and big brands making sure they were available to consumers, that appears to be working for us.
Mark Pogharian: And to answer your TRIPS question Alexia, I would say it looks pretty the [tripped] in by channel. I mean, I think our performance and category performance looks pretty similar to last year, we see store dollar in one of the largest retailers in the country continue to really, really shine.
J.P. Bilbrey: I'd make one other point just broadly as I had been out and about talking to retailers and have listened to other manufacturers is, people are saying that they believe the basket is more constructive than they've seen for a while, so that strengthening of the basket is also probably a really good sign for the overall industry, that's a North American comment as well.
Alexia Howard: Thank you very much and I'll pass it back to you. Thank you.
Mark Pogharian: Thank you very much for your time today. I'll be available for any follow up question that any of you have.